Operator: Hello, everyone, and thank you for joining the Duke Energy Second Quarter 2025 Earnings Call. My name is Sammy, and I'll be coordinating your call today. [Operator Instructions] I will now hand over to our host, Abby Motsinger, Vice President of Investor Relations, to begin. Please go ahead, Abby.
Abby Motsinger: Thank you, Sammy, and good morning, everyone. Welcome to Duke Energy's Second Quarter 2025 Earnings Review and Business Update. Leading our call today is Harry Sideris, President and CEO; along with Brian Savoy, Executive Vice President and CFO. Today's discussion will include the use of non-GAAP financial measures and forward-looking information. Actual results may differ from forward-looking statements due to factors disclosed in today's materials and in Duke Energy's SEC filings. The appendix of today's presentation includes supplemental information, along with a reconciliation of non-GAAP financial measures. With that, let me turn the call over to Harry.
Harry K. Sideris: Thank you, Abby, and good morning, everyone. It's great to be with you today for our second quarter earnings call. We have a lot of exciting news to share this morning, starting with Brookfield Infrastructure's $6 billion minority investment in our Florida business. This transaction enables a material strengthening of our credit profile as we enter this period of significant growth as well as the ability to grow our Florida utility at its full potential. We are now targeting FFO to debt of 15%, a 100 basis point increase versus our previous target. We are also increasing our Florida capital plan by $4 billion, funded by a portion of the sale proceeds. Brookfield is a highly regarded infrastructure investment, and we are pleased to have them as a long-term partner in Duke Energy, Florida. In further support of our capital funding needs, we announced the sale of our Tennessee LDC business to Spire last week. The premium valuation of $2.5 billion or 1.8x rate base reflects the high end of LDC asset sale precedents. We have been privileged to serve the Tennessee community for more than 40 years. And I know that under Spire's leadership, our teammates and assets will continue to operate with excellence and provide best-in-class service. Combined, these strategic transactions allow us to efficiently finance the record growth ahead of us and give us greater confidence in delivering our EPS objectives. Shifting to the second quarter results on Slide 5. We announced adjusted earnings per share of $1.25, building on our strong start to the year. These results were driven by top line growth across Electric Utilities. We move into the back half of the year with positive momentum and are reaffirming our 2025 guidance range of $6.17 to $6.42 and our long-term EPS growth rate of 5% to 7% through 2029. Moving to Slide 6. We continue to deliver on our strategic priorities, including advancing large-scale economic development projects and securing industry-leading regulatory and legislative outcomes. Starting with economic development. We operate in some of the most attractive jurisdictions in the country. Our states continue to thrive and grow and the affordable, reliable power we provide plays a key role in bringing business into our regions. We've been partnering with our states to attract jobs and investments for decades, and that momentum continues to build. In fact, North Carolina was just named the top state for business by CNBC for the third time in 4 years, and most of our states ranked in the top 10. Our size and scale, together with an unwavering commitment to our customers and demonstrated willingness to partner to do business allow us to move with speed and agility to seize the opportunity ahead. To highlight a recent project win, Amazon Web Services announced in June that it plans to invest more than $10 billion to build a new data center campus in North Carolina. I'm proud to say that our team played an integral role in making this happen. AWS described North Carolina as being the perfect home for this investment and highlighted our efforts in putting the site on their radar. Our team continues to build on their track record of success, moving at pace with our customers to deliver what they need when they need it. To continue to bring in these significant wins in a competitive environment, we are working closely with our stakeholders. During the quarter, we advanced for state and federal policies that enables us to meet the moment for our customers, while at the same time, supporting our credit profile, improving our regulatory constructs and maintaining customer affordability. These outcomes show clear alignment between our company and policymakers on shared goals of delivering reliable and affordable energy to meet growing demand. On the federal side, the preservation of nuclear production tax credits and the final budget reconciliation bill was a significant win for our customers. Only well-run, cost-efficient reactors are eligible to receive the credit. Our 11 gigawatt nuclear fleet is the largest regulated fleet in the nation and earned $500 million of PTCs last year for the benefit of our customers. We appreciate the engagement from Congress, the administration and stakeholders around our shared objective of supporting nuclear energy and lowering customer bills. In North Carolina, the Power Bill Reduction Act became law last week. As we ramp up generation investments to meet accelerating load growth, this legislation allows for annual recovery of financing costs for new baseload generation, supporting our credit profile and minimizing cost to customers. In South Carolina, the Energy Security Act was signed into law in May. The legislation supports all or above strategy, recognizing the value of our dual state system and importantly, allows Electric Utilities to implement a rate stabilization mechanism similar to our Gas Utilities. This efficient mechanism allows for annual rate true-ups that reduce volatility for customers and support the credit quality of the utility. And finally, the Ohio legislation approved House Bill 15 in May as well. As outlined, the law replaces the electric security plan with a multiyear forward-looking rate-making process, reducing regulatory lag. Beyond legislative accomplishments, we continue to build our track record of regulatory execution. We recently filed rate cases in South Carolina for both Duke Energy Progress and Duke Energy Carolinas. We expect hearings to take place in the fourth quarter with new rates in effect early next year, if approved. Later this month, we plan to file applications with the North Carolina and South Carolina Commissions and FERC to combine our DEC and DEP utilities. We expect the combination to generate significant customer savings over $1 billion through 2038, as we simplify processes and add operational flexibility to our system. We are targeting January 27 for the effective date. And finally, we continue to advance regulatory approval processes for new generation investments and plan to file our next Carolinas resource plan in North Carolina by October 1. Focusing on our generation plans. As you can see on Slide 7, we are actively advancing all solutions to quickly meet the increasing demand coming to our service territories, including maximizing our current fleet while we build new capacity. And we're on track to add over 8 gigawatts of dispatchable power across our system through 2031. This includes uprate projects to efficiently increase the capacity of existing natural gas, nuclear and hydro units. In aggregate, they represent over 1 gigawatt of cost-effective incremental capacity. Turning to new generation. We finalized the EPC agreement for our first combined cycle under development in the Carolinas and construction is underway. We also announced the site location for the third combined cycle in Anderson, South Carolina. In Indiana, we reached 2 settlements in our Cayuga CPCN proceeding. The agreements with Reliable Energy and the Industrial Group provide key support for our request, including the request to recover financing costs as they are incurred. Hearings begin later this month, and we expect an order by November. These milestones demonstrate our progress in advancing these critical infrastructure investments. With turbines secured under our framework agreement with GE Vernova and gas supply contracted, we are confident in meeting the in-service time lines we have laid out for these new units. In closing, our strength in the first half of the year was driven by solid execution by our 26,000 teammates. This performance, coupled with our unwavering focus on operational excellence, demonstrates our ability to meet the unprecedented growth we see over the next decade and deliver value for shareholders and customers. With that, let me turn the call over to Brian.
Brian D. Savoy: Thanks, Harry, and good morning, everyone. Moving to Slide 8. We finished the first half of 2025 with another strong quarter with reported and adjusted earnings per share of $1.25. This is up from adjusted earnings per share of $1.18 in 2024. Within the segments, Electric Utilities and Infrastructure was up $0.10 compared to last year, driven by top line growth from the implementation of new rates across Carolinas, Florida and Indiana. Partially offsetting these items were higher planned O&M and interest expense. Gas Utilities and Infrastructure results were flat to last year, consistent with the seasonality of the LDC business. And finally, the Other segment was down $0.02, primarily due to higher planned interest expense. Overall, we are very pleased with the results we've achieved so far this year, which continue to reflect the strength of the regulatory outcomes and the operational performance we have consistently delivered, and we are on track to achieve our targeted EPS and credit objectives for 2025. Turning to Slide 9. Population migration in the Southeast and Midwest continues to drive sustained customer growth, led by more than 2% in the Carolinas. As expected, rolling 12-month volumes moderated in the quarter, driven by a very strong second quarter of 2024, particularly in the residential class. First half results reflect a shift in mix across retail classes compared to our original assumptions. We are closely monitoring these trends, but continue progressing toward our 1.5% to 2% volume growth expectations for the year. As we look ahead, we continue to expect load growth to accelerate in the latter years of the plan as large load projects come online and begin to ramp. Our economic development pipeline remains robust, and we continue to take a risk-adjusted approach as we evaluate which projects to include in our forecast. As a reminder, our pipeline includes a diverse mix of customers, including advanced manufacturing projects across multiple sectors as well as data centers. I've talked about how we're streamlining our processes to accelerate economic development projects through the pipeline, and these efforts are yielding tangible results. The $10 billion AWS data center investment in North Carolina is an incredible economic development win for Richmond County and the entire state of North Carolina. The data center will support both cloud computing and AI infrastructure and is expected to create at least 500 new high-skilled jobs. This announcement is a major public milestone for the project, and it highlights our team's continued focus on speed, creativity and execution as we help move the project through the development process. The site selected for this project was part of our site readiness program, which helps our state, regional and local economic development partners make potential industrial land more attractive. By identifying sites that already have robust transmission infrastructure and capacity, we could proactively accelerate the time line of getting power delivery to a site. That strategic groundwork has paid off, and I'm proud of the work the team continues to do to consistently meet our customers' needs. Turning to Slide 10. Proceeds from the minority investment in Duke Energy, Florida and the sale of our Tennessee LDC business strongly position us for the transformational generation modernization investments ahead. A portion of the proceeds will be used as efficient funding to derisk our equity plan. And the remaining proceeds will displace long-term debt, materially strengthening the balance sheet. Enabled by these transactions, we announced today that we are raising our long-term FFO to debt target to 15%. This new target will provide 200 basis points of cushion above our Moody's downgrade threshold and 300 basis points above our S&P downgrade threshold. We are also delivering on all credit supportive initiatives and are firmly on track to achieve 14% FFO to debt this year. Focusing on the equity plan, the deal valuations represent significant premiums to our common stock. We'll use about half of the proceeds or $3.5 billion to displace common equity, including funding the incremental capital we're investing in Florida. We expect to issue the remaining $4.5 billion of common equity through the DRIP and ATM programs in the '27 to '29 time frame. Moving to Slide 11. We remain confident in delivering our 2025 earnings guidance range of $6.17 to $6.42 and 5% to 7% earnings growth through 2029. Proceeds from the accretive transactions solidify our credit profile and provide further confidence in our potential to earn at the top half of the range as load growth accelerates in the back end of the plan. Along with supportive legislation in place and our track record of constructive regulatory outcomes, we are well positioned to achieve our growth targets, which combined with our attractive dividend yield, provide a compelling risk-adjusted return for shareholders. With that, we'll open the line for your questions.
Operator: [Operator Instructions] Our first question comes from Julien Dumoulin-Smith from Jefferies.
Julien Patrick Dumoulin-Smith: Absolutely. Maybe just to kick it off here a little bit here. I mean, obviously, a series of constructive data points here, whether it's the Carolinas legislation, the transaction in Tennessee or now this in Florida. How do you think about this positioning yourself within the EPS CAGR, right? I only see net accretive actions before us. Are there any offsets otherwise said?
Harry K. Sideris: The way I'd look at this, Julien, is this really just gives us even more confidence in our 5% to 7% range that we've mentioned many times before and also gives us confidence in earning in the top half of that range in the 28% and 29% at the back end of the plan. The $4 billion investment in Florida is going to come in, in that time frame. So I'd look at all these transactions and this movement as really solidifying us in that range and in the top half of that range towards the back end of the plan.
Julien Patrick Dumoulin-Smith: Excellent. And then if I can ask a bit more of a fine -- a little bit more of a detailed question here. Around the latest Carolinas legislation, can you elaborate just a little bit further about how that shifts your plan? And just with respect to that, any shift in expectations on earned returns or spending? Just to elaborate, obviously, this is a novel development.
Harry K. Sideris: Yes. The passage of that bill really enhances the attractiveness for growth in the state. It had bipartisan support, and we definitely support a growing state. And like I mentioned, North Carolina is #1 for business ranked by CNBC. So a lot of good things going on in North Carolina with AWS and other things. So our plan is still intact with the bill. It gives us some credit help with CWIP being able to recover annually. But I would look at it as our plan is still along the same lines of the all of the above that we filed in the multiple RFPs that we've done. We'll be filing another one here this fall and just really looking at all resources that can support the growth that we're seeing in North Carolina and this bill just helps us manage that, but also manage the customer affordability portion.
Operator: Our next question comes from Nick Campanella from Barclays.
Nicholas Joseph Campanella: I just wanted to ask, this is the second time, I guess, you've done a noncontrolling interest stake in the business. You just did Tennessee. Just how are you kind of thinking about any additional opportunities across the portfolio to just knock out that remaining $4.5 billion? Or are you kind of done here for now?
Harry K. Sideris: The reason we did these deals is they're just very efficient use of equity. So we feel comfortable in what we've done so far. And we also feel comfortable with the equity plans that we've laid out to cover our growth. So I would look at it as for now that we're going to stick and get these transactions done and implementing our plan and continuing our growth trajectory that we have.
Nicholas Joseph Campanella: Okay. That's very clear. And then just you're outlining an increased FFO to debt to 15% long term. What's the feedback from the agencies been? And then can you just clarify what year you expect to get to that 15% range? Is it '27? Or maybe you can provide more clarity there?
Harry K. Sideris: Yes. Nick, I'll kick that off and then Brian can add some color. The rating agencies have always been supportive of our metrics at where they were. This is just going to enhance that. We just recently had a meeting in April with them, and they were supportive of our plans, our regulatory outcomes that we have in the states that we serve around storm securitization and storm recovery those tools that we have really help them feel comfortable with where we are today at 14% and they're only going to be more comfortable at a higher level, obviously. Brian, do you want to add anything to that?
Brian D. Savoy: Yes. I would add, Nick, I mean, we have several strategies in play to improve FFO to debt even before these transactions were announced, right? The legislation that Harry just spoke to in North Carolina with quick recovery, the South Carolina Energy Security Act has more efficient credit positive aspects of the regulation. And in Ohio, the multiyear rate plan structure. It's going to take some time to get those wills turn in. But once they do, there's a more efficient cash recovery. And these transactions kind of give a booster shot to that FFO. So I would say we're tracking really strongly to the 14% this year without any of those things in place, just strong cash flow and execution of the business as expected. And within the 5-year plan, we'll clearly be in the 15%, and we'll refresh the financial plan in February, Nick, with more details as we absorb timing and use of proceeds in a more granular way.
Operator: Our next question comes from Steve Fleishman from Wolfe Research.
Steven Isaac Fleishman: Maybe just following up on the last question. Should we assume you need to kind of complete the Florida sell-down steps to get to the 15%.
Brian D. Savoy: Steve, I would say, as it progresses, maybe not all the tranches, but we need to progress through the deal to be right at the 15%.
Steven Isaac Fleishman: Yes. Okay. And then just in thinking about -- I think in -- I can't remember the exact number, but in the past, I think you've given a number of rough -- as capital goes up, a rough ratio of how much would be funded with equity. Does that change when we kind of look to a refresh later this year based on these new metrics or is it roughly the same?
Harry K. Sideris: We've always targeted between 30% and 50% depending on what recovery mechanism we have, and we'll continue to look at that as we refresh our plans.
Brian D. Savoy: And I would add this balance sheet strengthening obviously gives us more flexibility of timing of the equity component of that capital investment and the like. But the 30% to 50% is a good planning range.
Steven Isaac Fleishman: Makes sense. And then lastly, just maybe it might be helpful to get a little more color on your views on kind of resource preferences as we head into the next update there. And I guess, specifically, any updates on your thinking on new nuclear?
Harry K. Sideris: Yes, Steve, I'll take that one. We've always had the all-of-the-above strategy. So we look at a wide range of resources, including nuclear. Like we said many times, we operate the largest regulated fleet of nuclear plants in the country. We have -- we think nuclear has a place to play and a lot of promise in the future. But before we go down that path, we're going to have to have some things figured out. We're going to have to have the first-of-a-kind risk, design, supply chain, workforce resolved for SMRs and even bigger reactors, how we're going to handle that. We're also going to have to have overrun protection from the federal government or others to be able to protect our customers and our investors from any overruns on these projects. And then lastly, we're going to have to have a means to make sure that we're protecting the balance sheet as we're building these facilities. So until we get those items resolved, we're still looking at solar, gas and upgrading and getting everything that we can out of our current assets.
Operator: Our next question comes from Jeremy Tonet from JPMorgan.
Jeremy Bryan Tonet: So maybe following up a little bit here. I appreciate where we are in the Carolinas IRP process. But could you share any high-level thoughts coming into the filing here beyond nuclear? Just wondering if there's any other points you'd like to highlight.
Harry K. Sideris: Yes. We'll be filing that in October. Again, we're looking at all of the above. With the new bill, it takes the 70% of carbon and moves that out. But we've always been focused on reliability and affordability as being kind of the regulators for what we put in our plan. So you'll see a lot of the same that you've seen in the previous IRPs around gas, batteries, uprates that I mentioned earlier as well as continued solar as we move forward. We are looking at nuclear when that makes sense, like I mentioned just a minute ago, but a lot of things will have to be determined before we go forward with that.
Jeremy Bryan Tonet: Got it. That's helpful there. And I was just wondering, as far as current load trends are progressing through the quarter, I was wondering if you could provide us just maybe a little bit more detail on what you see on the ground ahead of you that gives you confidence in the full year guide at this point.
Brian D. Savoy: Yes, Jeremy, I'll take that. This is Brian. we knew we had a tough comp in Q2 of 2024 was a strong quarter, largely in residential growth in Q2 of 2024 was over 2% and total retail growth at Duke was 1.9%. So we had a big comp. So we expected kind of to be behind Q2 of 2024. But what we're seeing with some of our larger customers is a very cautious stance, right? The swirl of uncertainties that arrange from tariffs as tax policy has been being worked real time in the quarter and the like. Those customers are not overproducing, if you will. They're just being very cautious when they have firm orders, they're running to those firm orders. So we're in close contact with these customers as we always are. And we expect as some of these uncertainties get settled. I mean there's a lot of progress on the tariff front that's happened in recent weeks. As that gets more firmed up, these customers will have more confidence in their supply chain and what the cost might be on their side. So that gives us -- we're tracking in line with the 1.5% to 2% growth this year, and we do think this is more of a transit item.
Operator: Our next question comes from Anthony Crowdell from Mizuno (sic) [ Mizuho ].
Anthony Christopher Crowdell: Just a heads up Mizuno sells sporting equipment to Mizuho. But congrats on the transaction. Just curious on the selection process, why the Florida subsidiary not Ohio or Carolina or South Carolina, what made the company lean towards the 20% sale in Florida?
Harry K. Sideris: Anthony, good to hear from you. We don't need any sporting goods right now. But we look at our entire portfolio, and we look at where we can get the best value and an efficient use of raising funds and Florida fit that bill. It's a premium asset. And obviously, by our valuation, we got a premium price for it. So it was a natural fit. It's a great jurisdiction to do business in, and I think people realize that, and we had a lot of interest in that.
Operator: Our next question comes from Carly Davenport from Goldman Sachs.
Carly S. Davenport: Maybe just on the Amazon announcement that you mentioned in North Carolina. Can you just provide any color on how we should think about the timing of those investments and the impact it could have on your CapEx expectations? Is that something that we should expect to be included in the capital plan update on the 4Q call?
Harry K. Sideris: Carly, yes, the Amazon deal is a big deal for us. It does have ramping like all these data centers do. So it will start coming in, in the '27, '28 time frame, and it will ramp in through the next -- beginning of the next decade. We anticipate that they will also look at ways to add to it. Typically, when they build a data center campus, they have plans for longer term as well. So we anticipate some additional items coming in towards the middle part of the 2030s as well from them. But you'll see a ramp, and that will be built into our plans as we do our updates.
Carly S. Davenport: Great. Okay. And then just one quick one on the Brookfield transaction. I think you had mentioned that there's an option for them to fund the total investment sooner. Is that something that's just up to their discretion? Or are there any sort of considerations or gating factors there to keep in mind?
Harry K. Sideris: Yes. It is up to their discretion. They do have to do it quarterly, and they have to notify us if they're going to do that. But what we've laid out in our plans is laying out the dates as we've announced with the tranches.
Operator: Our next question comes from Andrew Weisel from Scotiabank.
Andrew Marc Weisel: Congrats on all the updates and appreciate all the information. Maybe just -- what was the impetus for these sales? Was it wanting to improve the balance sheet? Were you looking to unlock more CapEx or something else? Just wondering what drove the decisions, especially as they were back to back like this?
Harry K. Sideris: Yes. I would say, Andy, it's -- we always look for the most efficient ways to fund our growth, and we have so much growth ahead of us. We're adding the $4 billion. So it allows us in Florida to maximize that opportunity and grow that utility at its potential. So that led us to those fundings as well as what we're focused on with the generation build and the data centers that are coming to our states, it really gives us an efficient way to fund that growth and really supports our balance sheet into the future and allows us to earn that 5% to 7% and at that top half in the back half of the plan.
Brian D. Savoy: I would build on that, Andrew, that we -- in our capital allocation process, we were making choices, and that's holding back some of these businesses to grow at their full potential. And we have full faith that Spire is going to take the Tennessee business and grow it to the level it can grow. We were having to rotate capital from Tennessee into other areas because of the generation modernization effort as well as Florida. So I think this unlocks the portfolio we will own going forward, and it was a very attractive capital recycling opportunity on both fronts.
Andrew Marc Weisel: Okay. That makes a lot of sense. Then forgive me if I missed it, but the $4 billion upside to CapEx, is that entirely going to Florida? And if so, can you give us any details on the timing and what types of investments that's going to be going into?
Harry K. Sideris: Yes. That is all in Florida. And I would think about it at the end of our multiyear rate plan, so starting with our next multiyear rate plan, which will be '28 and '29 is when those investments would go in. There'll be grid investments, generation investments, ways to serve our customers better and handle the growth that Florida is experiencing as well.
Andrew Marc Weisel: All of the above, more of everything kind of story?
Harry K. Sideris: That's a good way to think about it.
Brian D. Savoy: Yes.
Andrew Marc Weisel: Okay. Great. Then one last one, if I may. I see the slides still say targeting 60% to 70% dividend payout ratio. With a stronger balance sheet and pointing to a little bit faster earnings growth, any thoughts on the pace of dividend growth? Any philosophical tweak to the thinking there?
Brian D. Savoy: Andrew, we like the growth the last couple of years. Our Board has approved a 2% growth in the dividend. We feel like that's appropriate given the capital allocation and investment cycle we're attacking into. So we will continue to drive down the payout ratio as that level of dividend growth remains through the planning period.
Operator: We currently have no further questions. At this time, I'd like to hand back to Harry Sideris for some closing remarks.
Harry K. Sideris: Thanks, Sammy. I just wanted to wrap up today's call by saying we're entering the second half of the year with a strong momentum, a very clear strategy and a team that continues to deliver. We have materially improved our credit profile and our financial results reflect the strength of our business and the outcomes we have achieved. We're very confident in our ability to meet the evolving needs of our customers while delivering long-term value to our shareholders. I wanted to thank you again for joining us today and for your investment in Duke Energy. Thank you.
Operator: This concludes today's call. We thank everyone for joining. You may now disconnect your lines.